Operator: Good afternoon. Thank you for joining today's call. With me today are George Colony, Forrester's Chairman of the Board and CEO; Kelley Hippler, Forrester's Chief Sales Officer; and Mike Doyle, Forrester's Chief Financial Officer. George will open the call, Kelley will follow George to discuss sales, and Mike Doyle will discuss our financials. We'll then open the call to Q&A. A replay of this call will be available until March 13, 2019 and can be accessed by dialing 1-888-843-7419 or internationally by dialing 1-630-652-3042. Please reference the pass code 6316617 followed by the pound symbol or hash key. Before we begin, I would like to remind you that this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on the company's current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. I will now hand the call over to Mr. George Colony.
George Colony: Thank you very much for joining Forrester's 2018 Q4 Investor Call. Following my remarks, I will hand the call over to Kelley Hippler, Chief Sales Officer. Following Kelley, Mike Doyle, the company's CFO, will give a financial review of the quarter and the year. He will also give guidance for Q1 and full year 2019. Kelley, Mike and I will then take questions. The company's positive momentum from Q3 continued into the fourth quarter, enabling Forrester to exceed its booking planned for the quarter and for the year. In Q4, agreement value increased 10%, enrichment moved to 101%, revenue exceeded guidance and pro forma earnings per share was at the top end of guidance for the quarter. After a slow start in Q1, we accelerated quarter-by-quarter, resulting in a strong year for the company. Four factors accounted for the 2018 results: number one, our selling model, two, our focus on specific vertical markets, three, the launch of new products, and four, the continued strength of our Age of the Customer strategy. We began the transition to a new selling model of what we call the customer engagement model in 2017. As we talked about on previous calls, CEO bifurcates customers into premier and core, customer success managers drive engagement with clients which accelerates renewal rates and solution partners match client challenges with Forrester products to increase enrichment. The model was successfully completed in 2018. In 2018 we focused the company on 12 vertical markets. These industries are feeling the effects of the Age of the Customer most acutely. And these verticals are high technology, financial services, consumer, communications, government, healthcare, transport and logistics, travel and leisure, utilities, automotive, media and business services. Centering our research and sales average in these segments has increased our relevancy with clients and it's also energized our marketing efforts, particularly in lead generation. A third factor in 2018 success was the launch of new products, specifically customer experience certification. Now as you all know, Forrester has a large and comprehensive customer experience practice, which includes consulting, research boards, events and analytics. In the second quarter we launched a new product line which offers learning and certification as a means to improve and mobilize CX teams. This syndicated service exceeded our goals for the year and is now being used by 160 companies. We expect to introduce a line of certification products over the next two years encompassing topics beyond CX, an example here would be Zero Trust in the cybersecurity space. The company has centered its strategy in the Age of the Customer now for five years, working with business and technology leaders to develop customer obsessed strategies that drive growth. We are now known as the company you turn to in times of customer disruption. As the U.S automotive executive said to me recently when she wanted to improve customer experience in her dealer network, she knew that there was only one company to turn to and that would be Forrester. I want to turn now to the company's plans for 2019. As you know, Forrester acquired FeedbackNow and GlimpzIt in 2018, and SiriusDecisions in January of 2019. And I want to talk about how these acquisitions figure into our plans for the year. In a very simple sense, you can think of Forrester as three platforms serving our clients going forward, a strategy platform, a real time customer experience platform and an operational platform. The first platform is the legacy Forrester product set that helps companies construct the right strategy to thrive in the Age of the Customer. The research, events, consulting and boards in this platform direct clients to what they should do as they move forward to make the right choices to enable them to grow revenue in these turbulent times. The second platform is the real time customer experience cloud. This platform enables companies to monitor and improve their experiences in real time. The real time Customer Experience Cloud will take in a wide range of inputs, analyze that feedback and push it out to companies all in real time. The cloud is already deployed in its first iteration. GlimpzIt the company that we acquired in July has been focused on building out the analytics engine for the cloud using its machine learning and AI capabilities. FeedbackNow which we acquired in July deploys physical buttons that enable customers to give instant feedback. This physical version of the cloud is currently generating hundreds of thousands of votes per day for over 200 clients worldwide. And I was recently at Orly in Paris, where FeedbackNow is used to measure experience within the airport. Executives have found a direct correlation between experience and the level of retail sales within the airport. A tangible economic return from real time CX. For the Super Bowl, The FeedbackNow’s smiley boxes or buttons were deployed at the Georgia World Congress Center adjacent to the Mercedes Benz stadium in Atlanta. In 2019, we will continue to build out new capabilities in the cloud and I'll be reporting on these changes as the year progresses. The third platform is focused on operations and this is the SiriusDecisions product line which we added by acquisition in the first week in January. SiriusDecisions offers research, data, events, consulting and training that helps companies align their marketing, sales and product efforts. Companies that are operating in the Sirius Way, and this is a prescribed database methodology have 19% higher revenue growth and 15% higher profit growth than their peers. The Sirius Way has become a standard mode for B2B marketing, sales and product teams to operate. And I recently visited with a SiriusDecisions client who said that they only hire marking staff that is familiar with and has used Sirius in their careers. It is become the lingua franca of marketing. The SiriusDecisions product line will be added to the Forrester portfolio, sold alongside the strategy platform and the real time CX platform. In 2019, we expect to sell the Sirius product line through the Sirius sales force as we develop the plan for full integration. And then in 2020 we will tap into four avenues of revenue synergy from this deal. Number one, to cross-sell the SiriusDecisions product line to Forrester clients and the Forrester product line to SiriusDecisions clients. We know from due diligence that there is very low account and seat overlap. Number two, sell the SiriusDecisions product line outside of the U.S. Three, sell the Sirius - the Sirius Way to new verticals be on high-tech and advanced manufacturing. We expect to focus on B2B healthcare and financial services first. And finally four, extend the Sirius product line to new roles. At present the product line is serving B2B CMOs, CSOs heads of product. Over time we will be extending it to serve operations for CIOs, B2B CMOs, CX leaders and security and risk professionals. So in the Age of the Customer Forrester is now able to help companies understand what to do, how to do it and how to deliver the best experience. I want to turn to 2019 priorities, and we have three primary objectives in 2019. The first is to continue to leverage the customer engagement model to achieve our bookings goals, increase sales productivity and drive the percentage of our business which is syndicated. The second priority is to build out the real time CX cloud. As the year progresses, we will be adding additional inputs, introducing new versions of the analytics engine and integrating physical FeedbackNow with digital FeedbackNow. The third priority is to integrate SiriusDecisions and I'm pleased to report that we have a strong integration team led by Sharyn Leaver from Forrester and Tony Jaros from SiriusDecisions. The consulting firm L.E.K. is providing post-merger integration support. As you know, Forrester has acquired a number of companies and we have extensive experience in running integrations. As with past efforts, we will be choosing best practices from either company using the integration effort to streamline the full operation. Now much is going right with this integration, but two aspects of it stand out to me. One, our cultures are closely aligned. In my experience culture is where integration can be derailed. In this case, there is a good alignment of values, especially around in serving clients. Number two, clients of the two companies are supportive of the marriage. They understand the logic of the deal and they can see the benefit of buying strategy and operational help from one company. Now with a final note, I wanted to talk about Forrester’s financial position as we move into 2019. As you know, we have suspended the dividend and stock buybacks as we've taken on debt to pay for the SiriusDecisions acquisition. That said, we expect healthy cash flows in the year enabling the company to accelerate debt repayments. We will continue to be active on the M&A front and we look - and we will be looking to make acquisitions when appropriate. So to finish up, I've never felt better about Forrester. Our strategy is strong. We are introducing exciting new products. We have successfully navigated our sales transition. We've acquired and are integrating three great companies. I'm proud of what we accomplished in 2018 and I believe that we are positioned to do even better things in 2019 and beyond. And I would like to turn the call over to Kelley Hippler, who will provide a sales update. Kelley?
Kelley Hippler: Great. Thank you, George. Q4 capped off a good year for the Forrester sales organization. We completed the standup of our international teams into the customer engagement model or CEM, our go to market strategy. We continue to receive positive feedback from clients who transition into the model about the additional value they're receiving from Forrester. As a result, our agreement value has grown 10% percent versus prior year and our enrichment has increased over prior year as we're working to provide our clients with multi-product solutions to help them address their transformations like customer experience, digital transformation and Zero Trust. These metrics have been steadily increasing over the last year. Q4 also marked the eighth consecutive quarter of improved ramp rep productivity. As our customer success and solution partner teams continue to evolve, they are helping to free up additional time for our quota carriers to build relationships in other departments and other business unit. In addition, we saw a decrease in sales rep attrition and an increase in the percentage of sales reps getting to plan as our sellers adjust to the CEM. Based upon the favorable results in Q4, we are looking to increase our quota carrying headcount by low single digit. To ensure these continued results in 2019, in our premier sales team we will continue to leverage our team access offering which enables us to engage with a senior leader and their team to support key initiatives. We are building out our market development teams that align resources across sales, marketing product and research to develop solutions to the industries identified in our ideal client profile work. And we are continuing to position solutions versus products. Our customer success team is spearheading the operationalizing of a risk process across sales, customer success and our product organization, designed to create broader awareness of and the ability to respond to potential non-renewals in a more consistent way as we look to increase client retention rates. The new pricing and packaging that was introduced to our core organization in Q4 helped drive positive results within that segment. Concurrently, we continue to invest in our sales analytics, as well as training and enablement efforts. We have automated our territory planning to ensure that we establish balanced territories for our sellers, while improving our cost of sale and service. As many of us know, making changes to the sales model has risk associated with it. It is a testament to the sales leaders and leaders across Forrester that we have successfully executed on the CEM on time to the benefit to our clients and to the benefit to our financial. This has created a powerful growth platform as we look to 2019 and beyond. With that, I would like to turn the call over to Mike Doyle to review our Q4 and full year financial results.
Michael Doyle: Thanks very much Kelley. I’ll now begin my review of Forrester’s financial performance for the fourth quarter and full year 2018, including a look at our financial results, the balance sheet at December 31, our fourth quarter metrics and the outlook for the first quarter and full year 2019. Please note that the income statement numbers I'm reporting are pro forma and exclude the following items, stock based compensation expense, amortization of intangibles, acquisition and integration costs and net gains and losses from investments. For 2018 we're utilizing an effective tax rate of 31% for pro forma purposes. For the fourth quarter, Forrester delivered revenue performance that exceeded the upper end of our guidance and earnings per share at the upper end of guidance. We experienced healthy revenue growth in both research services, advisory and events for the quarter.’ Research services revenue for the quarter was aided by a strong performance in our reprint business, while advisory is driven by strong consulting delivery. Additionally expenses and operating margin were in line with expectations. We continue to see consistent improvement in agreement value enrichment over the last five quarters with the changes we made to our selling model firmly taking hold. Forrester had a strong finish to a good year. As George mentioned, we were opportunistic over the last 12 months leveraging our balance sheet to make three strategic acquisitions. We believe these acquisitions will accelerate revenue and operating profit growth in a significant way over the next few years. Now let me turn to a more detailed review of our fourth quarter results. Forrester's fourth quarter revenue increased by 9% as reported to $98.6 million from $90.4 million in the fourth quarter of 2017 and by 10% on a currency adjusted basis. Fourth quarter research services revenue increased by a 11% as reported to $62.1 million from $55.9 million and by 12% on a currency neutral basis. Research services represented 63% of total revenue for the quarter. Fourth quarter advisory services and events revenues increased by 6% as reported to $36.5 million from $34.5 million in the fourth quarter of 2017 and by 7% with constant currency and represented 37% of total revenue for the quarter. International revenue mix was 23%, down 1 point from 24% in the fourth quarter of 2017 on both as reported and constant currency. I’d now like to take you through the product activity behind our revenues, starting with Forrester Research. Forrester published research and decision tools enable clients to better anticipate and capitalize on the disruptive forces affecting their businesses and organizations. We believe Forrester Research provides insights and frameworks to drive growth in a complex and dynamic market. In the fourth quarter of 2018, Forrester Research library included 47 play playbooks, the addition of 400 new documents and we hosted 37 webinars for our clients Research revenue increased by 14% for the fourth quarter of 2018, driven by reprints - reprints products revenue, three points of the growth is attributable to the adoption of the new revenue recognition rules, which as a reminder adversely impacted growth in our first quarter, but added approximately a 0.5 point in growth to the full year. Onto our Forrester Connect offerings, which encompasses our leadership boards and executive programs Forrester Connect services are designed to help clients connect with peers and Forrester’s products and professionals and to coach executives to lead far reaching change within their organizations. As of December 31 2018, Forrester Connect had a total of 1,486 members, up 3% compared to the prior quarter and compared to prior year. Connect revenue increased 2% compared to the fourth quarter of 2017, driven by our executive program offerings. Our analytics products and services are designed to write fact-based customer insights to our clients. Clients can leverage our analytics products and services or choose to have us conduct custom data analysis on their behalf. For the fourth quarter revenue increased by 5% driven by our acquisition of FeedbackNow. Excluding the acquisition, revenue decreased by 4% driven by decline in our customer data and customer index products and partially offset by strong growth in our Business Technographics and Consumer Technographics products. Forrester Consulting which includes our advisory and consulting services, our total revenue for the fourth quarter increased 4% compared to the prior year driven by a 10% increase in consulting delivery and partially offset by slower growth in advisory revenue. Forrester held five events in the fourth quarter of 2018. Revenue was flat in Q4 compared to the prior year on a same event basis, but increased 31% overall driven predominately by the launch of the Data Strategy & Insights Forum. I will now highlight the expense and income portions of the income statement. Operating expenses for the fourth quarter increased by 5% as reported and 6% on a currency adjusted basis and were $84.9 million compared to $80.7 million the prior year. Cost of services and fulfillment increased by 8% as reported and 9% with constant currency due to higher headcount and merit increases, higher tradeshows and TD expenses related to the Data Strategy & Insights event. Selling and marketing expenses increased by 4% as reported and 5% with constant currency, driven by higher commissions and T&E. General and administrative costs were essentially flat as reported and increased by 1% on a constant currency basis driven by higher headcount and merit increases. Overall, headcount increased 3% compared to the fourth quarter of 2017 and increased 1% compared to the third quarter of 2018. At the end of the fourth quarter, we had a total staff of 1,432, including products and advisory services staff of 559 and total sales force of 528. Products and advisory services headcount increased by 9% year-over-year and 3% sequentially. The total sales force decreased by 2% year-over-year and increased 2% sequentially. Operating income was $13.7 million or 13.9% of revenue compared to $9.7 million or 10.8% of revenue in the fourth quarter of 2017. Other income for the quarter was $202,000 compared to $53,000 in the fourth quarter of 2017. Net income for the quarter was $9.6 million and earnings per share was $0.52 on diluted weighted average shares outstanding of 18.5 million compared with net income of $5.9 million and earnings per share of $0.32 on 18.3 million diluted weighted average shares outstanding in the fourth quarter and 2017. Now I'll review Forrester's fourth quarter metrics to provide more perspective on the operating results for the quarter. These metrics exclude the impact of our GlimpzIt and FeedbackNow acquisitions. Going forward we plan to report our metrics inclusive of acquisitions. Agreement value, this represents the total value of all contracts for research and advisory services in place without regard to the amount of revenue that has already been recognized. As of December 31st, 2018, agreement value was $266.3 million, up 10% from the fourth quarter of 2017 and up 8% on a constant currency basis. As of December 31st, 2018, our total for client companies was 2,353, down 2% compared to last year and essentially flat to the last quarter. Client count unlike our retention and enrichment metrics is a point-in-time metric at the end of each quarter. Forrester's retention rate for client companies was 74% as of December 31st, 2018, flat to last quarter and down 2 points to last year. Our dollar retention rate was 88%, flat compared to last quarter and compared to last year. Our enrichment rate was 101% for the period ending December 31, 2018, up 1 point compared to last quarter and 5 points compared to last year. We calculate client and dollar retention rates and enrichment rates on a rolling 12-month basis due to the fluctuations, which can occur between quarters with deals that close early or slip into the next quarter. The rolling 12-month methodology captures the appropriate trend information. Now I'd like to review the balance sheet. Our total cash and marketable securities at December 31, 2018 was $140.3 million, which is an increase of $6.2 million from $134.1 million at year-end 2017. Cash from operations was $1 million for the quarter as compared to $600,000 in the fourth quarter of last year. We received $1.8 million in cash from options exercised in the fourth quarter, as compared to $4.6 million in the fourth quarter of last year. We paid a dividend of $3.7 million or $0.20 per share during the quarter and we did not repurchase any of our stock during the quarter. Accounts receivable at December 31, 2018 was $67.3 million compared to $70 million as of December 31, 2017. Our days sales outstanding at December 31, 2018 was 63 days compared to 71 days at December 31, 2017. And accounts receivable over 90 days was 4% at both December 31, 2018 and 2017. Deferred revenue at December 31, 2018 was $135.3 million, a decrease of 7% compared to December 31, 2017. However, adjusting for the effect of the new revenue rules and point of foreign currency, deferred revenue would have increased approximately 4%. So in closing, a good quarter and a strong finish to 2018 as we finished ahead of revenue guidance and at the upper end of our earnings per share guidance. We continue to see healthy improvement in agreement value growth and enrichment as the new selling model is completely integrated into our operations. Our advisory, consulting and event segments performed well during 2018. We executed well from an operational standpoint keeping expenses restrained to achieve targeted operating income levels. More importantly, we delivered this performance while acquiring three companies in the last 12 months. GlimpzIt and FeedbackNow are critical elements as we build out the Customer Experience Cloud that George discussed earlier. SiriusDecisions, Forrester's largest acquisition expanded our offerings for CMOs to provide a more complete solution by supplementing Forrester's strategic guidance and support with SiriusDecisions' operational research and decision making tools. These acquisitions are important to Forrester as we look to accelerate our growth going forward. As we move into 2019, we carry strong momentum from 2018 performance and a high level of energy as we look to leverage the strategic investments we made over the last 12 months. Now let me take you through the specifics of our guidance for the first quarter and full year 2019. Our guidance reflects broader ranges than we have historically provided. This is in part due to the increased size of Forrester post acquisitions. In addition, we just recently acquired SiriusDecisions and we are still working on integrating processes and completing new plan targets. We will continue to refine and tighten the guidance as we move forward. Our guidance excludes the following, the fair value adjustment to the acquired deferred revenue from the Sirius acquisition of $4 million to $5 million for the first quarter and $17 million to $19 million for full year 2019. amortization of intangible assets, which we expect to be $3 million to $4 million for the first quarter and $15 million to $17 million for the full year 2019, stock-based compensation expense of $2.6 million to $2.8 million for the first quarter and $11 million to $12 million for the full year of 2019, acquisition and integration costs of $3.5 million to $4 million for the first quarter and $7 million to $8 million for the full year of 2019, and any investment gains and losses. Forrester is providing first quarter 2019 financial guidance as follows, pro forma revenues of approximately $100 million to $105 million, pro forma operating margin of approximately 0.5% to 2.5%, pro forma effective tax rate of 31%, and pro forma earnings per share ranging from breakeven to a loss of $0.06 per share. Our full year 2019 guidance is as follows, pro forma revenues of approximately $475 million to $487 million, pro forma operating margin of approximately 10% to 12%, pro forma effective tax rate of 31%, and pro forma diluted earnings per share of approximately $1.55 to $1.67. We provided guidance on a GAAP basis for the first quarter and full year of 2019 in our press release and 8-K filed today. Thanks very much and I'm now going to turn the call over to the operator for the Q&A portion of the call.
Operator: Thank you, sir. [Operator Instructions] The first question in the queue comes from Timothy McHugh [William Blair & Company] Your line is open. Please proceed.
Timothy McHugh: Yeah. Hi, thank you. First one I want to just ask, can you help us when we think about the 2019 guidance what are you assuming in terms of the pro forma revenue impact and margin impact from Sirius in the full year numbers?
Michael Doyle: The way we're looking at it Tim, this is Mike, we're assuming approximately $100 million in revenue for SiriusDecisions and you figure probably on the low end, probably about year on, approximately $0.10 on EPS.
Timothy McHugh: Okay. And that's pro forma EPS?
Michael Doyle: Yes, it is Tim. We’ll be refining that with the - probably when we bring out our April call. But right now, we're still in the midst of digesting all what we have. And so again that will refine as we go.
Timothy McHugh: So I guess part of why I am asking is, I'm trying to get a view of the outlook for kind of underlying margin trends here separate from the acquisition impact. In particular, I think you talked about starting to grow the sales force again. So can you talk about maybe on an underlying basis, how you're thinking about margins for 2019 and maybe the next couple of years here? In particular I guess in the context of starting to grow the sales force at a faster pace than we saw the last year?
Michael Doyle: Yeah, I would say that our intent, Tim, is again to try and get, I would say, realistically if we - a point in margin this year as we think about this year with that accelerating as we go into 2020 as we get further leverage in the business. Couple things will happen. We will - as we go into 2020, we will be baking in really annualization of and also I think George hinted that revenue-synergy opportunities with SiriusDecisions that will help us leverage the business even more. So ideally as we go into 2020, we're accelerating top line growth, meaning we're starting to approach revenue numbers that are into the double digits and then expanding margins ideally another 150, 200 basis points in 2020. And I think that's doable even with growing the sales headcount because I think what Kelley has demonstrated for us is that the model of to get a 10% growth, you got to have a 10% increase in headcount. We don't need to do that. We're getting productivity. I'll let her give you more color, but I think we're getting productivity out of our existing model and we got to look to do the same with SiriusDecisions.
Kelley Hippler: Sure. Thanks, Mike. So just to add to that, we've really been focusing on driving the rep productivity and that's where the beauty of the customer engagement model is that by having the CSM focusing on the day-to-day engagement, having a solutions partners who can help drive up our average transaction size on enrichment. Our sellers are able to cover more territory within the accounts they have, which allowed us to outpace our growth without having to keep the headcount up with that. And we think that we still have plenty of opportunity especially now with some of the new assets that George talked about today to continue to enhance productivity at a faster clip than we're growing sales heads.
Timothy McHugh: Okay. That's helpful. And so I guess - let me just ask, relative to the agreement value growth of kind of 8% on a constant currency basis, it would imply - I guess or it seem like the organic assumption in there for 2019 is a touch less than that?
Michael Doyle: Right.
Timothy McHugh: Is there anything about the agreement value that makes you hesitant to extrapolate I guess that growth rate or why - when do we expect revenue to grow at that pace?
Michael Doyle: Yeah, no your question is good one, and, Tim, and it's spot on. I think what we're seeing - the goodness in what we're seeing in is that with the solution partners that Kelley mentioned, is we are bundling more and more solutions when we sell to clients, which include advisory and consulting. So we are seeing that grow right now at faster rates than our syndicated business. So that's what impacted - so we're not having that - larger syndicated push into next year as we would like. So you're seeing that reflected in our revenue numbers. Clearly the intent is to continue to grow syndicated faster and a lot of that story comes into how do we sort of improve client retention? There's a number of things that Kelley is looking at to accelerate that and we've got a number of enhancements to existing products and some new products coming out that are more syndicated in nature. And we’re looking to do more there, as well as leverage cross sell on Sirius, which is a highly – more highly syndicated product than what we have right now.
Timothy McHugh: Following up on that, can I ask so what would be the rough kind that of growth rate for agreement value for the syndicated type of products at this point that you're seeing?
Michael Doyle: I would say net growth this past year were - and this is all in, it includes all, I would say, it's probably in the, I would say, 5% range plus or minus, Tim, if I bundle them all together.
Timothy McHugh: Okay…
Michael Doyle: And that’s, obviously – yeah, that's not where we aspire to be. I mean, you've heard George talk before, we expected our syndicated business should be growing double digits and that's what we're all working toward, that's the internal target.
Timothy McHugh: Okay, great. Thank you.
Michael Doyle: Thanks, Tim.
Operator: And our next question in the queue comes from Vincent Colicchio [Barrington Research] Your line is open. Please proceed.
Vincent Colicchio: Hi. I'm curious, Kelley, are you seeing the best performance in the regions, which have the longest tenure of the new model in place, what's that relationship look like?
Kelley Hippler: Sure. Great question, Vince. I will say one of the things that we were very pleased about this past year is that we saw a strong performance across all sales segments in all geographic regions. But absolutely the longer teams have been in the model, the better they seem to be doing, especially from an enrichment perspective. I think the CSM from an engagement perspective are able to come in pretty quickly, diagnose what it is the end users are looking for from Forrester and start to drive that engagement within a quarter or two.  The part that does take a little bit longer is finding the additional growth opportunities within the accounts and that's where we are seeing stronger enrichment within the teams that have been in the model longer. The good news is at this point everybody will have been in it for at least a year going into 2019. That coupled with our increased focus on verticals I think will help all teams to continue to accelerate as we move forward.
Vincent Colicchio: And Mike you may have said this, but as you model for this year for 2019, when do you expect - how much cross-selling do you expect to occur this year from the SiriusDecisions piece?
Michael Doyle: I would say that this year the expectation is really de minimus, Vince. And the reason for that is that you know, their fiscal year ends March 31. So if you remember, when George and I spoke at the last call, George talked about letting them finish their year. And then I think as we began the process of working through and integrating the companies, we'll build out the plans to develop cross-sell because we think that's fertile ground for us and there's a tremendous amount of opportunity. So I think you will see bookings activity in the latter part of this year, probably won't translate into huge revenue numbers. That said, I think we'll see much more of that flow into the P&L in 2020.
George Colony: Yes, setting us up for 2020 to do that. Although there will be sales incentives to do this, right?
Kelley Hippler: Yes, absolutely. We've already launched some collaboration programs out into the field to help drive collaboration and then there are places where we'll look to be opportunistic, Vince, where SiriusDecisions may not have feet on the street today, but Forrester does. And those are all part of the planning that's under way right now as we get ready to kick off what will be a 9 month plan for our SiriusDecisions team.
Vincent Colicchio: And George, the –to significantly move the real-time Customer Experience Cloud product forward, do you need to make other acquisitions there or will we see a significant improvement in the product outside of that?
George Colony: I think, I'd say the answer is no, Vince. But there are definitely - we have about four or five targets that would be great to add but are not necessary to add. I think the primary effort for the year is to really - is to build up the digital side of the cloud and to the analytics engine to be fully trained. Remember, there's some machine learning and AI; there's no people in the picture here. So I'd say we have all the elements in place to make the cloud successful - have a successful launch for this year. Go forward, I mean if it does, we think it's going to do, I think again we have four or five other targets we will be looking at to acquire.
Vincent Colicchio: Okay. That’s it from me. Nice quarter, guys.
George Colony: Thanks, Vince.
Kelley Hippler: Thank you, Vince.
Operator: Thank you, sir. There are no further questions at this time. So I'll turn the call back over to Mike Doyle for any closing remarks.
Michael Doyle: Great. Thanks very much. We look forward to seeing a number of folks out on the road now that we've got the acquisition behind us, we'll be more active on the IR front. So we plan to both be at conferences and be out meeting with investors. So I look forward to seeing you soon. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's teleconference. Thank you for participating. You may now disconnect.